Operator: Thank you for joining us today for Hovnanian Enterprises fiscal 2008 third quarter earnings conference call. (Operator Instructions) By now, you should have all received a copy of the earnings press release. However, if anyone is missing a copy and would like one, please contact Donna Roberts at 732-383-2200. We will send you a copy of the release and insure that you’re one the Company’s distribution list. Management will be making some opening remarks about the third quarter results and then open up the line for questions. Before we begin, I’d like to remind everyone that cautionary language about forward-looking statements contained in the press release also applies to any comments made during this conference call and to the information in the slide presentation. I would now like to turn the conference call to Ara Hovnanian, President and Chief Executive Officer of Hovnanian Enterprises.
Ara Hovnanian : Thank you and thanks all for participating in today’s call to review the results of our third quarter and nine months ended July of ’08. Joining me today from the Company are Larry Sorsby, Executive Vice President and CFO; Paul Buchanan, Senior Vice President and Chief Accounting Officer, Brad O’Connor, Vice President and Corporate Controller; and Jeff O’Keefe, Director of Investor Relations. If you turn to slide number one, you can see that year-over-year comparisons for our third quarter in most key metrics were all from last year’s third quarter. We gave all of this data and a little more detail in our press release, which we issued yesterday, so, as usual, I will not go over every data point but instead I’m going to focus on some of the key perimeters driving our performance and talk about the current market conditions as well as our current initiatives. The challenging market conditions continue and there’s not yet any evidence of the overall housing market bottoming out. However, there are a few early signs of a market rebound in some individual markets that might end up proving to be the start of an improving trend, but it’s a little to say that a recovery is underway. I will discuss some of those potential early signs in a moment. The seasonally adjusted annual return of national housing starts has been running at or above a million housing starts per year for the last eight months. This is similar to the trough levels seen in the past three downturns. We have a handful of communities outside of Texas that are doing well, but I really can’t point to anyone product type or price point that is outperforming any of the others. Today in many of our communities, we’re still faced with a difficult trade-off between pace and price. We lowered our sales price in many cases, but our absorption levels for the quarter are still very low. If you look at slide number two, our quarterly net contract pace per community was only 4.5 homes; that’s about 21% lower than last year’s third quarter. While net contracts were down 38% year-over-year, some of this decline was due to us having fewer communities open for sale, our community count is down 21% year-over-year. Keep in mind that our fourth quarter comparison is going to be very difficult because we sold about 1,500 net contracts during our deal of the century sell-a-thon last September. We are not planning on holding a similar national promotion during our fourth quarter this year. Our third quarter sales pace is typically slower than the second quarter sales pace, even in robust years. If you go back to ’97, we typically see an average of a 15% decline in sales pace from the second quarter to the third quarter. We had a 21% sequential drop this year in contracts per community, about 6% more than is typical, so the market is clearly continuing to be difficult and challenging and slowing down. Low absorption levels, like those that we’ve experienced during this downturn, make it very challenging to staff our communities efficiently. If we’re going to keep the doors to a community open, we need to maintain a certain minimal staffing level of at least a sales person and a construction associate, even though that team may be capable of handling greater volume. If it’s logistically possible, some of the associates can be spread across more than one community. In our regional and divisional offices, we have likewise reduced our staffing levels. On slide three, you can see that our staffing levels were down through the end of the July quarter. At July of ’08, we had a total of 3,075 associates; that’s a 55% reduction from the peak in June of ’06 and an 8% decline from April of ’08. We’ll continue to right size our staffing levels to match the current business activities in each of our markets. Even though our staffing reductions have been significant in our absolute dollar expenditures for SG&A for the quarter dropped 28% year-over-year, slide four shows that our total SG&A as a percentage of sales remains higher than normal. These higher SG&A percentages are a result of reductions in staffing not being able to keep pace with the declining absorption level, home price declines, and the inefficiencies of lower sales per community mentioned earlier. The slow sales pace and lower pricing have dramatically decreased our revenues and our adversely impacting our gross margins. Our gross margin has been in the single digits for the past couple of quarters as you can see on slide number five. But for the third quarter, our gross margin was up slightly compared to our first and second quarters of the year. Going forward, we do expect to see a slightly better mix of product delivering over the next couple of quarters, some lower priced land coming through, and increased reversals of impairments, all of which should help keep gross margins from trending in the wrong duration. During the third quarter of ’08, our homebuilding cost of sales was reduced by $44.8 million from the reversal of impairments taken in prior periods. Operating profitability before impairments has been illusive due to the combination of lower than normal gross margins and higher than normal SG&A as a percentage of sales and our focus on cash flow over margins. We’ve navigated downturns many times throughout our almost 50 years of operation. Typically we see increases in sales pace proceed improvements in pricing. During the last 11 years, we have not seen third quarter contracts per community as shown on slide number six anywhere near the low levels that we are at today. A return to a more normalized absorption levels would clearly be a sign that a housing recovery is underway. We continue to see very high levels of existing home inventory. Slide seven shows that for the month of July, the month supply of existing home sales stood at about 10.6%. This is down slightly from the previous month’s reported inventory of an 11 month supply. Even though we have seen higher levels of month supply of homes in the early ‘80s, the absolute level of inventory is at record levels. We need to work through this inventory in order to see some improvement on the new home sales front. One of the factors that cause some markets to better than others is the relative level of local market supply of existing homes for sale. Most markets are still dealing with substantially higher than normal resale listings. In order of worse to best, our California and California markets remain the most challenged today. However, recently several of our Northern California markets have begun to see an interesting trend that’s developed. On slide eight, we show monthly resale listings, closed sales, and month supply in Stockton, California, going back to 2006. This is a market that’s getting a lot of attention as ground zero nationally for foreclosures. As a result, Stockton has been a very difficult operating environment for some time now. However, total listings appear to have peaked in March of ’08 and have been coming down since then. At the same time, the pace of new sales has risen. The effect of these two movements is that month’s supply is at 2.4 months. That’s not only the lowest we have seen in the past two years, that’s a very healthy level even for the best of times. Slide nine shows sales volume and prices going back several years. Here we see that prices were sticky in the early part of the downturn, only reducing from $249 a foot to $217 per foot. As they were sticky, we see that volumes dropped. What we see more recently is that as prices have existing homes have finally reduced more dramatically, as you see on the chart there, from $217 a square foot in June of ’07 to $123 a square foot in June of ’08. The market then reacted very favorably to these reduced prices and we saw existing home sales volumes increase from a little over 1,000 homes in June of ’07 to 3,250 homes in June of ’08, more than triple the pervious year’s sales volume. We see similar trends in Stanislaus County. This county is south of Stockton and it’s where Modesto is located. Modesto is another foreclosure hot bed. As you seen on slide ten, total listings in this market appear to have peaked last summer and have been gradually trending since then. Earlier this year, we also saw sales start to pick up. Once again, months supply is moving in the right direction and we’re at the lowest level of month supply since the beginning of ’06 and again at what would be considered a normal healthy level of about a 5.3 months level of number of months supply. On slide 11, we see a similar part of pricing and sales volume in this county. The existing homeowners or in many cases the banks have dropped prices of the homes and we’re seeing sales volumes rising and inventory levels falling as a result. Clearly some of the movement in both of these markets are tied to prices on foreclosed homes being substantially reduced so that they’re selling quickly. But if these trends continue and start to develop in other markets and months supply can return to more normalized levels and remain there, we could see some stability in these and other challenging markets. Another market where foreclosures have not been as a big problem as the two I just highlighted in California is the Virginia market. This market currently has only a 5.6 month supply of existing homes, a dramatic drop from the last nine months in what would normally be considered a health level of existing home supply. As you can see on slide twelve, this market has recently seen a decrease in listing and an increase in sales pace. We dropped prices in some of our community here in order to pick up absorption rates, and it looks like existing homeowners have also finally dropped prices. In this case, not as much due to the pressure of foreclosed homes. While we are pleased with the trends in Virginia, I will note that the Maryland side of the DC market still has persistently high inventory with 9.4 months supply, so it’s not all good news out there just yet. We are keeping an eye on indicators like the MLS listings in these markets and it could provide a single that the markets are finally starting to get back to more normal stabilized conditions in terms of the balance of supply and demand. Moving on to Arizona and the Midwest, which have also been through some difficult times, these markets are operating at slightly better levels than California and Florida. Our operations in Carolinas are doing a little better than these. As of late, we have lowered prices in the Washington DC market and took impairments there. The northeast is still holding up better than most markets, but they too have felt their share of pain in this downturn. On top of the list of relative performance today, our Texas operations are doing the best, but even here we have seen some weakness, particularly in Dallas. Given the continuation of these difficult market conditions, our focus remains intense and our cash generation is our number one priority. While we will sell a partial of land occasionally, the best way for us to accomplish further inventory reductions and maximizing the cash generation is to continue selling and delivering homes on the lots that we own. On slide 13, you can see the progress we have made to bring down our own lot position which is down 35% from peak levels in our option lot position which is down 73% from peak levels. The numbers of lots controlled is a simply a function of purchasing a lot fewer lots than we’ve delivered homes on. For example, at the end of the second quarter, we owned a little over 25,000 lots. During the third quarter, we delivered about 2,200 homes, sold only about 40 lots; and offsetting these reductions, we took down about 400 lots on existing options. This resulted in a net decline of 1,700 lots for the quarter. The slight difference in our lot count is due to the lots where we delivered on your lot homes, in which case we never owned the lot, or a construction to perm financing lots where the homeowner bought the lot prior to closing on the home. Our land option positions by segment have come down dramatically from 87,000 lots in April of ’06 to a little over 23,000 lots at the end of July of ’08. As you could see on slide fourteen, this shows our owned option position by our six geographic segments. On slide 16 you can see how our land position stacks up to those of our peers. It’s sorted according to owned land supply based on trailing 12 months deliveries. Even at 1.9 year supply, we still own more land than we’d like right now. But compared to our peers, we’re in relatively good condition. The good news is that each quarter, we work through more of our own land and we eventually replenish our land supply with lower cost land, which we hope to do at the bottom of the housing cycle and that will clearly help our gross margin increase to more normalized levels. We also continue to bring down our level of investments in started unsold homes. You can see that on slide sixteen. At July of ’08, we had a little over 1,300 started unsold homes. That’s down 51% from the end of last year’s third quarter. Based on our recent sales pace, this represents only 2.6 months supply; and I’m happy to report, as I had mentioned earlier, our peers are also containing their unsold home inventory. Our disciplined focus has led to a sequential trend of lower inventory, as you can see on slide 17. Here we show our investment dollars in inventory broken out to a distinct categories – sold and unsold homes, which include homes that are in backlog started unsold homes and model homes, as well as the land under these homes and 2) land both finished lots and lots under development, which are associated with all other owned lots that do not have a sales contract and/or any vertical construction. We’ve reduced our total dollar investment in these inventory categories by 40% since our peak level in July of ’06, and we plan to make further progress in reducing our inventories through the balance of ’08 and again in ’09. Most importantly, these reductions in inventory have led to cash flow generation. As you see on slide 18, we generated $192 million of positive cash flow during the third quarter. Some of this was from an approximate $95 million federal tax refund that we received in July. We expect to once again generate cash flow in the final quarter of fiscal 2008 such that are homebuilding cash balance at the end of October of ’08 is projected to be about $800 million, an increase of approximately $125 million from the end of the third quarter, as you can see on slide 19. In years past, land takedown and had to get corporate approval at the time of our most recent budget update process. During ’08 and ’09, land takedowns still need to be approved during the budget process, but then have to approved by me lot-by-lot prior to the actual takedown. On slide 20, you can see that we do not have any debt maturities until 2010, and that is only a 100 million issue. After that, nothing comes due until 2012. We believe the capital market moves that we made in May of ’08 have put us on a solid footing to weather this downturn without having to go back to the capital markets to raise additional cash. I’ll now turn it over to Larry Sorsby to discuss some of the charges we took in the third quarter and some other topics in greater detail.
Larry Sorsby: Thank you, Ara. I’ll start by talking about the land related charges that we took in the third quarter. We walked away from 3,733 lots in the third quarter and took a write-off of 30.8 million related to these option lots. Slide 21 shows the geographic breakout of these charges which represent the amount invested in these options primarily through option deposits, but also in any predevelopment dollars we had invested in getting this land through the approval process. In our most challenging markets, we have significantly reduced our exposure to land options. 78% of a remaining lot options are in our better performing markets of Texas, Washington DC, Northeast, and the Carolinas. For most of these options, the price or terms or both have been renegotiated. Many in fact have been renegotiated multiple times. Nonetheless, we are constantly reevaluating every lot option before exercise to insure that the option take down makes economic sense based on today’s home prices and absorption levels. Our remaining investment in option deposits has also dropped dramatically from a peak of $466 million at the end of the second quarter of fiscal ’06 to $96.4 million at July ’08. The $96.4 million consists of $64.1 million of cash deposits and the other $32.2 million of deposits being letters of credit. Additionally, we have another $113.6 million invested in predevelopment expenses on these lot options. The next category of pretax charges relates to impairments. We incur impairment charges of $80.1 million related to land and communities that we own in the third quarter. This is significantly lower than the $226 million of impairment charges we took in the second quarter of ’08. While the trend is positive, if home prices continue to deteriorate, we will see additional impairments in future quarters. So far we have mothballed land in 33 communities. The book value at July 31st, ’08, associated with these mothballed communities was $422 million, net of an impairment balance of $147 million. We mothball communities when we are currently unable to obtain a reasonable recovery of our land cost relative to our perceived long-term value. We will save that land until such time as the market improves and we can generate better returns. Additionally, during the third quarter of ’08, we recorded $725,000 for our portion of impairments on land that is owned in joint ventures in Chicago and in Florida. Looking at all our communities in the aggregate, including mothballed communities, we have a book value of $2.6 billion net of $590.6 million of impairments recorded on 140 of our communities. Turning to slide 22, it shows our remaining investment in land and land development by segment. Our total investment declined 20% year-to-date and totaled $1.29 billion on a consolidated basis at July 31st, 2008. There has been much discussion about how home prices need to drop more. Indexes, like the Case-Shiller Index only track existing home prices. Last week, even this index showed signs that month-over-month decreases in pricing were declining in several of the key markets that are tracked. We agree that existing home prices need to come down more in order to clear out excess inventory. But how much more prices need to come down is very specific to local markets. However, new home prices have less need to fall compared to existing home prices and new homebuilders, including us, have been much more aggressive on dropping sales prices than existing home sellers were during the last couple of years of market correction. On slide 23, we show an example of a community in Arizona and another one in California that were impaired in third quarter because of recent price reductions. We test all of our communities at the end of each quarter for impairments whether or not the community is open for sale. If we see further declines in home prices, we would expect to see further impairments in future quarters. That leaves us with the last major area of charges for the quarter which is related to taxes and the FAS 109 current and deferred tax asset valuation allowance. We concluded that we should book an additional $98 million after tax non-cash tax asset valuation allowance during the third quarter. While our tax asset valuation allowance charge was non-cash in nature, it did adversely affect our net worth by $98.4 million during the quarter and $455.9 million today. The FAS 109 charge was for GAAP purposes only and is a non-cash valuation allowance against our current and deferred tax assets. If you add back the impact of FAS 109 to our equity, our net debt to cap would’ve been 59.7% as of the end of the July quarter. This is a more accurate picture of our leverage compared to our peers because some builders have not had to take FAS 109 allowances simply because of the auditor that they use. Let me reiterate what I said on our conference call last December. The FAS 109 tax asset valuation allowance is for GAAP purposes only. For tax purposes, our tax assets maybe carried forward for 20 years and we expect to utilize those tax loss carry forwards as we generate profits in the future. While I’m on the subject of our expectations to utilize these net operating loss carry-forwards, or NOLs, and built-in losses, let me take a couple of minutes to discuss IRS Code 383 and our Board’s recent decision to adopt a stockholders’ rights plan in order to protect the value of these NOLs. While we were well aware of the fact that we could not go out and buy a company with NOLs and obtain the full benefit of those NOLs to offset our income, we were not aware until recently that there was a complicated calculation to that same 382 tax code that could significantly limit our use of NOLs and built in losses if we have change in ownership as defined by the tax code. Let me briefly explain the change of ownership component of IRS Code 382. As a publicly traded company, the turnover of shares of our largest holders could severely limit our ability to use our NOLs and built-in losses. If over a three-year measurement period there is more than a 50% turnover of our outstanding shares traded by stockholders who own more than 5%, an ownership change is triggered under 382. Once triggered, we would be required to calculate our limitation on the use of NOLs and built-in losses. The calculation takes the current market of our equity and multiples it by the federal long-term exempt, tax exempt interest rate, which right now is about 5%. Turning to slide 24, it illustrates an example of this calculation. In this example, our market cap is $500 million. If you multiply that by 5%, you get $25 million. In this example, our NOLs and built-in losses are $400 million. Under scenario one, if we make $200 million pretax during our first year of profitability and our use of NOLs and built-in losses is not limited, we would be able to use $200 million of our NOLs and built-in losses and not pay any Federal income tax. Therefore, our after tax income would be $200 million. As illustrated under scenario two using those same assumptions, if a change in ownership was triggered and our ability to use our NOLs and built-in losses was limited, we would only be able to use $25 million to offset our pretax income and would still have to pay Uncle Sam on the $175 million of pretax income or pay him taxes of approximately $61 million. So that the second scenario does not occur, our Board of Directors felt it was in all shareholders’ best interest to protect this valuable asset and adopt a shareholders’ rights plan. If the stockholders’ rights plan was triggered by someone buying more than 4.9% of our stock or by one of our current 5% owners buy an additional shares, then each shareholder other than the one who triggered the plan would receive an additional share of stock for each share of stock they currently own. This would severely dilute the shareholder that triggered the plan. The intention of the rights plan is to discourage anyone from making a trade that potentially would cause us to have a triggering event under Section 382 of the tax code. Once again, the reason we adopted this plan is to protect the use of our NOLs and built-in losses. The Board’s intention is to eliminate this plan once we use all of our NOLs and built-in losses. Now let me update you on the mortgage markets and our mortgage finance operation. If you will turn to slide 25, our recent data indicates that the average credit quality of our mortgage customers remain higher than national average with our FICO scores at 726 and our average loan to value at 86% for the third quarter. Only 4% of our customers took out adjusted rate mortgages during the third quarter. Turning to slide 26, we show a breakout of all the various loan types originated by our mortgage operations during the third quarter of fiscal 2008 compared to all of fiscal 2007. We continue to see our volume of FHA and VA loans increasing. FHA and VA loans now represent about 46% of our originations. As this case with much of the industry, including our publicly traded peers, we had a fairly substantial percentage of buyers who utilized the FHA Down-Payment Assistant Program. The Down-Payment Assisted Programs were 16% of our loans for the first nine months of fiscal ’08. This compares to 2% for all of fiscal 2007. Very much accounted to the name of the housing stimulus bill, on October 1st, 2008, the down payment program, assistance programs will be eliminated. What we don’t know is how many of these buyers could have come up with the down payment themselves. My suspicion is that some substantial portion could’ve come up with the needed 3% down payment to qualify for a normal FHA loan. We’re hopeful that the recently enacted $7,500 tax credit for first-time homebuyers will help fill some of the void from the elimination of the Down-Payment Assistance Program. The Down-Payment Assistance was limited to 3% of the sales price. So as you can see on slide 27, for $150 home, the Down-Payment Assistance would’ve been only provided a $4,500 benefit. Now that same homebuyer can get a $7,500 tax credit. That’s a $3,000 difference for this homebuyer. The other benefit of tax credit is that it can ultimately in the form of a tax refund where that homebuyer actually gets the cash. With the Down-Payment Assistance Program, the homebuyer never actually gets the money. \ We admit that the timing difference between the cash tax refund and the down payment is a steep hurdle for some to overcome. However, we certainly believe that there’ll be some significant portion of homebuyers that will be able to greatly benefit for the tax credit. Regardless of the exact impact, the pool of qualified buyers will be affected by the elimination of Down-Payment Assistance Program. Most of the homes in our backlog that are using the Down-Payment Assistance Program have been approved at this point. Even though the availability of mortgage products has been sharply curtailed during the current housing downturn, we still have more mortgage products available today than we did six or seven years ago, but not as many as we did two years ago. The industry is going to be sound reasonable lending practices. Buyers who have decent credit history, can verify their job and have the ability to make a modest down payment will continue to have no issues obtaining approval for loans. On slide 28, you can see that our cancellation rate peaked during the fourth quarter of 2007 at 40%. It came down slightly in the fourth quarter to 38% and declined further to 29% in the second quarter of ’08. It picked back up during the third quarter of ’08 to 32%, but that number was still below where it was during last year’s third quarter. Now I’ll shift to talking about joint ventures. At July 31st, 2008, we had invested $164 million in eight land development TN homebuilding joint ventures. Turning to slide 29, we have continued to maintain leverage in our joint ventures and have financed them on a non-recourse basis. At the quarter-end, our debit of all our joint ventures in the aggregate was 46%, better than our consolidated leverage. We did not have any debt arrangement at any of our joint ventures that will require us to provide equity capital beyond our initial commitment to our joint ventures in the future, and we don’t anticipate in the press to voluntarily invest additional cash to support our joint ventures beyond the amount that was budgeted to be invested by our partners. The majority of our joint ventures are in the advance stage of development and thus the amount of budgeted equity investment has largely already been investment. In fact, we expect to generate cash from our joint ventures as a number of them are in the wind down stage of delivering homes without significant additional development dollars needed. We report significant details on the balance sheet and profits of our unconsolidated joint ventures and our 10-Qs and 10-K, so you can look there for more details. I’ll not turn it back to Ara for some closing comments.
Ara Hovnanian: Thanks, Larry. We haven’t seen land prices on new deals that make economic sense just yet. At some point soon, the banks will take on more real estate owned, REO, from the smaller builders. Obviously banks don’t want REO and will mark down the land to levels that will allow them to move it off their books. This is definitely likely to be a greater factor in the next 12 months based on all of our current reconnaissance. This scenario will ultimately benefit the public builders because we could then buy land and build a home and generate a more typical appropriate margin assisting and betting back to operating profit more quickly. We bought a lot of land from the RTC in the last housing downturn of the early 1990s. Looking back, I wish we had bought more. Today, we have more leverage than we’re comfortable with and would not consider taking any more leverage to buy land. But one way that we’ll be able to take advantage of land prices that will inevitably present themselves is to partner with a financial institution. Let me take a few minutes to update you on the progress that we are making on forming such a joint venture with a financial partner. We have spoken to many private equity shops and hedge funds about the prospect of forming a joint venture to buy distressed asserts. We narrowed the field down to just a couple of firms and are very close to finalizing an agreement with one of these partners. The proposed structure would be similar to current and past joint ventures we have formed with financial partners, the summary of the balance sheets of which Larry just discussed. In this case, we would put up about 10% of the equity and the financial partner would invest the remaining 90%. If the properties performed to pro forma, we would earn about 40% of the profits. If the market improves thereby enhancing margins, our top tier of profit participation is 50%. Again, that’s with a contribution of 10% of the equity. In the past, we have leveraged most of our joint ventures but never more than 50% debt to cap. Today, the debt for real estate has all but dried up, so we intend to initiate the joint venture with no debt. At some point in the future, we may apply debt when terms make more sense than they do today; but I can assure, it will be applied conservatively. The structure of our joint venture will be different than some of the deals announced by our peers over the last nine months. We intend to see the joint venture with a handful of communities. We are not ready to buy new land today, but starting off with a few communities, the reporting structure and relationship will already be in place. So when we do see opportunities to buy land, we can move quickly. We will not be optioning lots from the joint venture, but will be marketing, selling, building, and delivering homes in the joint venture. This is similar to the joint venture structure we have utilized with other financial partners. We report our contracts, deliveries and backlog from existing joint ventures on a quarterly basis. We’ll continue to keep you updated on the progress and we hope to be reporting a finalized deal soon; although, there hasn’t been a great deal of urgency because we think the timing for buying land is still ahead of us. Let me wrap up my prepared remarks by talking briefly about some of the larger forces and the impact on the homebuilding industry and more specifically our Company. If you turn to slide 30, the first bullet on the top left-hand corner shows household formation data from the latest Harvard Joint Center for Housing Studies Report. Based on demographics and actuarial studies, the think tanks estimates for the next decade is for growth slightly more than 1.4 million net new households per year. This is a slight increase over the past five years since 2000 and it’s a significant increase over the net new household created over the decade of the ‘90s, which were about 1.15 to 1.2 million households per year. Not withstanding the very poor current housing conditions which causes a delay over the short-term in household formations, this coming decade is projected to have greater housing demand than we have seen in a long, long time. Moving on to the next bullet, homebuilding was, is, and unfortunately will probably continue to be a cyclical industry. As a group, the homebuilders are repeat offenders of overbuilding and then as the market slows, under building so that the market can absorb the overhang of supply. We don’t know exactly where we are, but we’re certainly near trough production levels of the past three downturns; and we also don’t know how long we’re going to stay near this trough, but for certain at some point the industry is going to recover and build homes to satisfy the needs of a growing number of households in this country. Housing population is growing in the United States. Now in the center of the slide, once the cyclical trend reverses and we start to build more homes than we did in the previous year, it is likely that there will be far fewer homebuilders around to take advantage of the upswing. Smaller builders around the country our closing their doors each day as the housing storm is crushing their weaker financial foundation and there’s no liquidity to be found in the market for homebuilders. That’s a good segue for our next bullet, liquidity. There’s no doubt that this downturn has stressed our leverage; however, with the cash that we are generating, coupled with the steps that we took back in May to raise capital through a bound offering and equity offering, we have the liquidity we need to weather this downturn and be positioned to take advantage of the eventual cyclical upturn. Finally, franchise value: We have the infrastructure and franchise in place across the country to take advantage the tremendous opportunities that will inevitably present themselves as the industry rebounds. On top of that, we will have the benefit of a huge net operating loss carry-forward. Since we won’t be paying any taxes for some time, our pretax profits will quickly refill our coffers. When the market was strong, we made more profit in six months than the entire market cap of our company today. The market will get strong again and as a builder of 50 years, we will get strong with it and we will prove to be an exception value at today’s stock prices. That concludes our prepared comments for today and I’ll be glad to open up for questions and answers.
Operator: Thank you, sir. Ladies and gentlemen, the Company will now answer questions. (Operator Instructions). Your first question comes from the line of Carl Reichardt with Wachovia.
Carl Reichardt – Wachovia Securities : I’m curious, Larry, if you can tell me, you talked about, or actually Ara, you talked about minimal overhead to keep the store open. Do you have some new merits, like on average what would be kind of the normal fixed costs that you need to cover to keep your doors open. I know it’s going to vary market-to-market, but I’m just kind of curious to get some numbers.
Ara Hovnanian: Well, it’s really not a matter of the velocity alone as to what justifies keeping a particular community open. It really has to do with the price versus our cost and so the analysis we do is the lot recovery. We look at how much of our investment we’re able to recoup by moving forward and building a house and if we don’t recoup enough, then we consider mothballing the community as we discussed during the call. What I was referring to really had to do more with just the challenge when you have, for example, a typical construction individual and a sales person that in normal environments as the sit in the construction trailer and a sales office with a model complex could between the two of them, for example, could easily produce let’s say 30 homes per year and instead at the moment, they are only producing 15 homes a year. The challenge is you can’t reduce more than one sales person and one construction person. You still have to have the sales office and models and the construction trailer, so it makes SG&A a real challenge in that environment. Nonetheless, as we do the lot recovery analysis, even though in that example SG&A would be virtually doubled from those two individuals, it still is typically well worth our while because we’re recouping some of our land investment and we’re anxious, as you know, to burn through our land investment today, which were at our older prices, and make room to refill our inventory position with new lower priced land.
Carl Reichardt – Wachovia Securities : Secondly, just on the concept of the larger JV going forward, would you consider, this 10%, do you expect that to be cash or is that land in lieu of cash? What kind of communities would you expect to contribute to a joint venture assistance of equity owners?
Ara Hovnanian : Well first the contribution of a few communities, and it’s a small number, it is really the minority portion of the venture we’re establishing. The notion is just to seed it, get the relationship and reporting started so that we can build a relationship to move quickly when we get moving going forward. There’s a good chance that it will include some active adult communities, a small number, and I’m talking about three or four communities that we’re going to seed with it. It’s not that significant. There will be probably active adult communities, which typically have more investment so it makes more sense because they have the clubhouse and recreational facilities as amenities and those take some bigger dollars.
Larry Sorsby: Just to put it into reference, what we’re currently contemplating is less than $100 million of purchase price of our assets would go into it. If you apply a 10% to that, it’s less than $10 million that we would put in in terms of our investment post the deal. So, as Ara mentioned, our real intent here is to take advantage of opportunities at the bottom of the cycle. We’re just seeding it to get it started with our own asserts. But the real purpose of the venture is to invest in new deals at the bottom.
Ara Hovnanian: I guess I should’ve mentioned the other part to your question, Carl. In the initial deal as we sell these assets to seed the deal, and let’s use the round number of $100 million for ease of sake, our equity contribution would be $10 million. But effectively if you use that number, we would receive cash of $100 million as the venture would buy the assets from our Company. That cash of $100 million would be able to fund our 10% investment on a billion dollars of acquisition, so the equity leverage power is huge. What’s attractive to us is that, as mentioned, if we just hit our pro forma returns, which when you’re buying at the bottom of the marketplace, should be achievable. By the way, our plan is not to buy with the hopes that the market recovers. We plan to do the same thing we’ve done with every one of the other housing downturns over our 50-year history. We will buy when you can make an economic return right then and there with the current lousy prices and the current lousy price [inaudible]. So if we make the pro forma returns on acquisition, we should get a number approaching 40% of the profit with only 10% and obviously if the market improves and our margin does better, then we’ll get even greater percentage. That is obviously something that’s attractive to us and we think is an excellent financial model for our company. We are more highly leveraged and will likely be much more highly leveraged. We’ll probably end the housing downturn with a balance sheet that looks more like a private company did at the peak of the market, but we will have lots of cash available. By using the joint venture, the cash flow that we will get will allow us to pay down our debt without using up our capital.
Operator: Your next question comes from the line of Ivy Zelman with Zelman.
Ivy Zelman – Zelman & Associates: Ara, you point out some positives that referring to markets, Northern Cal and Augusta and Stockton and other areas where the market’s seen an improvement in existing home sales, you know ironically the increase in existing home sales is coming from foreclosures and dominating markets as much as 50% to as high as 75% of those existing home sale increases, and we know that through title companies and work we’ve done that half of those and maybe even more, many are being purchased by investors. The good news is that it’s moving inventory. The bad news is that there’s for every house that’s taken off, there’s more in the pipeline to come. The other bad news is it’s taking share from your new home market and your prices, although in many cases you may not be making money now, are likely to go lower because appraisals are coming in lower because the comparables are foreclosures. So I’m really having a hard time seeing the light at the end of the tunnel that you seem to see. If you could take out the foreclosure sale activity, which arguably we could be creating another investors gone wild down the road, you’re looking at primary sellers who are going to be looking at comparables significantly lower and in many cases could be under water. As you refer to gross margin improving and going higher, I’m curious how you’re going to do that as prices are likely to have to go lower because of the competition with these foreclosures.
Ara Hovnanian: Well, first of all, I tried to be careful to make clear we thought it might be a glimpse of an early indicator. I’m far from popping the champagne cork at this stage. But what is important is to clear the inventory and frankly whether it’s cleared through foreclosures, which are selling often on through MLS, or it’s clear through a normal non-foreclosure sale, the point is it’s clearing the market. That is an important fundamental step to take place. There are new foreclosures being lifted, but obviously for outstanding listings to becoming down, that means more sales are happening each month for the last few months than new listings come on to the marketplace, that’s a healthy situation. What it is is a healthy trend. It’s still a very challenging marketplace there, believe me, and we’re not excited about it. But what it does do is start clearing the decks and getting to a more balanced market condition. It’s an important first step. In regard to the other point you mentioned, it is true clearly that our pricing has been affected by the existing homes. What was interesting is that typically new homes sell at a premium to comparable existing homes. For a while, the public homebuilders lowered their prices more than the existing homebuilders will willing to lower their prices and it created this odd situation where new home prices were at a discount to existing homes. What we’ve seen recently and a lot of that is thanks to pressures, competitive pressures from existing homes, they have finally moved prices down below as well and it’s getting a normal scenario. Nonetheless, that’s obviously affected our pricing and has obviously affected our margins. We’re taking into that account as we are looking at margins and we’re still comfortable with what we said in regard to the future margins. Frankly part of that is also being helped by the fact that we have more impairments, which means in future quarters we’ll have a lower cost basis and because and as those impairments reverse that will help the gross margin positively.
Ivy Zelman – Zelman & Associates: Just a quick follow-up on that: Let’s assume unfortunately the absorptions are at the lowest levels in your 50-year history on a pure neighborhood basis, and I think there are other builders, obviously you’re not alone in your performance. From what we understand, it’s been a very tough summer. So we’re hearing that some of the public which are looking at year end closings are going to have to try to create a catalyst to sell more units. So we’re hearing many are going down again in price and looking at your strategic position, realizing you also want to hit year end closings and you’ve got goals and cash flow expectations, will you strategically do more promotion activity, maybe note the deal of the century like you did last fourth quarter, but will you look to stimulate your sales activity with more price cuts as others are already beginning to do?
Ara Hovnanian: We have only a month and a half left of our year end, a lot of that is in backlog. We are not planning nor feel like we need to plan for a lot of additional, anything out of the ordinary for what we’ve been doing in terms of promotions right now. We have tried to factor in our absolute most recent current pricing into the impairments that we recently took, so we’re reasonably comfortable at this stage. Having said that, it’s not an environment where we’re raising prices very much and it’s clearly a challenging environment. But at this stager we’re comfortable with the numbers we just gave.
Operator: Your next question comes from the line of David Goldberg with UBS.
David Goldberg – UBS: Actually kind of following up on Ivy’s question, I was wondering if you could give us an idea around the communities that you kind of pointed out where the average pricing had fallen and you’d seen some pick up in terms of sales base, maybe what you think generally that pricing looks like relative to where new homes are pricing on a square foot basis? Then maybe also just suppose that against your cost structure relative to maybe your raw material costs and what would be left to think about buying land and what you could pay for lots?
Ara Hovnanian: Well obviously that’s a difficult question to answer given that everything is so locally specific. But I would say in those markets, I’m actually in California and I was just in Northern California touring and analyzing several communities, and in those particular locations I just viewed, the existing home prices per square foot in that particular county is basically has finally come down to levels that are competitive with new home prices per square foot. They were very similar in that particular example to what we are offering. So that I think is what finally had prompted existing home sales in that location to start selling, and that’s an important part of the marketplace because for somebody, for a homebuilder to sell a move up house, for example, because not all of our homes are first time homebuyers, our customers have to sell their existing home. So if there’s finally activity in the sales of existing homes, that begins that food chain and then buyers can sell and hopefully move up to one of our homes. So pricing if existing homes were selling at a premium… Let me rephrase that. If they were asking a premium price and there was very little velocity, they’ve dropped their prices to the more appropriate and more normal relationship with new homes and it’s starting activity back up.
David Goldberg – UBS: Relative to the hard cost in the house, the actual construction costs.
Ara Hovnanian: In terms of the land or house?
David Goldberg – UBS: The house itself.
Ara Hovnanian: Could you elaborate on the question; I’m not sure.
David Goldberg – UBS: Well what I’m trying to get an idea of is if you know that you’re selling for let’s say $170 a square foot, what does it cost you to actually build the house on a square footage basis, i.e., what’s left for your margin and to buy the finished lot itself or the raw land?
Ara Hovnanian: It varies dramatically from market-to-market. I mean in some cases, for example, the developed lot is 15% of the sales price in normal environments. In another higher end market in California or Northern New Jersey, it could be 40% or even 45%. The construction cost would obviously be the corollary in that kind of relationship. I can say at the moment, typically speaking new land if you want to make a profit, a fair profit at today’s house prices, there are very few land opportunities yet that make sense. But this is typical in the cycles. I mean we’ve been through so many of these and I remember as peacefully as the ‘90s downturn, our last one, it took awhile for land prices to come down to a level that made economic sense at today’s level factoring in the land price and also construction costs. But what it takes is for this last leg of the housing correct to happen and that last leg is more financial institutions to take over the land and then sell it to other homebuilders, whatever the case may be. That last leg doesn’t really affect house prices very much, but what it does do is make land available finally at prices that can make economic sense; and I don’t think that’s too far off.
Larry Sorsby: Suffice it to Say, David, that what we would do if we saw an opportunity is we know what our current hard and soft costs are to build that house; we know what our current absorption face is in that particular location; we also know what kind of return we would want to generate based on today’s prices in places, we would back in to what we could afford to pay for the land, which is significantly lower number than it would’ve been four years ago.
David Goldberg – UBS: If I could just get one more quick question actually…
Operator: Your next question comes from the line of Mike Rehaut with JP Morgan.
Ara Hovnanian: Sorry about that cut off by the way. I think that was the operator, not us though, so you don’t get insulted. Go ahead, Mike.
Michael Rehaut – JP Morgan Securities: I appreciate the detail on the DPA for the first nine months of the year. I was wondering if you could provide that for quarter-by-quarter and 1Q, 2Q, and 3Q.
Larry Sorsby: I don’t have it right at my fingertips, but we can get back to you on that. It did climb higher sequentially throughout the year. I just don’t have the numbers off the top of my head.
Michael Rehaut – JP Morgan Securities: If we could, I’d love to circle back with you on that. The other question I have is when you talked about the tax credit and you kind of compared it to the Down-Payment Assistance, one part that was not mentioned was the fact that it’s really a 15-year loan and would be in some ways added to a person’s debt profile and debt burden. I was just wondering, number one, as yourselves and others in the industry make consumers aware of the tax credit, is that understood and how does that or how is that going to come into the decision making process and if you’ve seen any type of reaction by consumers given that fact.
Larry Sorsby: Certainly we make them aware that it is interest-free loan. We explain to them in great detail how the program works. The fact is that people want to buy a house and this helps them have the needed funds to pull it off, and I think it’s being favorably received. Would it be better if it wasn’t a loan? Sure. But I don’t think that it’s an interest-free loan is going to make the program not work.
Ara Hovnanian: By the way, I do not believe, although I don’t think it’s been completely crystallized, but I don’t believe because it’s an interest-free loan with long maturity, I do not believe that that goes into the, at least in the interest payment calcs unqualifying the customer. What is interesting also is that while it is effectively an interest-free loan, it’s a little bit better than that because there is $500 a year re-payment required starting in the third year, so you do get a couple years of grace; but the balance is due upon resale unless the proceeds and the profit from the resale are not enough to pay it. Then it’s forgiven. So it’s not as good as an absolute credit. On the other hand, it’s not as bad as debt because it’s interest-free, nominal amortization, and in a bad scenario where you don’t sell it for a sufficient profit, you actually don’t have to pay it back, so there are some good features. As we pointed out in the presentation, the down-payment assistance can actually get you 100% financing in lower priced homes, as like the $150,000 priced home we gave in our example. You could actually get 102% financing so to speak, which we think would be enticing for customers, and that extra financing again is interest-free and potentially repayment-free in a bad, downside scenario.
Operator: Your next question comes from the line of Dan Oppenheim with Credit Suisse.
Analyst for Dan Oppenheim – Credit Suisse: Along the same lines, with down-payment systems going away, we’ve heard that in this environment it takes at least 30 days to get a loan approved with an appraisal so given that that needs to be done by October 1st. I’ve kind of heard of two different things happening in August where one part kind of seeing it pick up initially in buyers with kind of rushing to get into these programs before they’re eliminated. But then as the month progressed, heard of activity really dying off and starting to see the real impact of: Okay, what’s it going to be like once this program goes away since these loans, that would be on contract for the end of August and beginning of September, there would be a good chance that they couldn’t use the program anyway. Could you just comment on if you saw similar things in August?
Larry Sorsby: No, I don’t think we’ve seen similar things in August. In fact, we’ve been pretty pleased with our recent, just the past week and the prior couple weeks to that have been good weeks from our perspective from a sales point of view, so we didn’t see any tailing off. I guess it’s still theoretically possible that it’s still people trying to jump on the bandwagon before it ends; but I don’t have any evidence that that’s the case.
Analyst for Dan Oppenheim – Credit Suisse: So no view of kind of what the impact could be yet? It’s still too early.
Larry Sorsby: No, in fact my suspicion is is that many of the people that were getting the Down-Payment Assistance Program to get the 100% financing can actually come up with the 3% modest down-payment that FHA’s normal programs require. There’ll be some percentage of them that can’t, but I think the vast majority can. So I don’t think the impact of the elimination of The Down-Payment Assistance Program will be anything close to eliminating, in our case, I think we had 16% over the last nine months. I think the vast majority of that 16% would still be able to qualify for a loan.
Analyst for Dan Oppenheim – Credit Suisse: So then just the follow-up: on the joint venture, you mentioned that you had narrowed the list down to several finalists and we’re close to announcing one partnership. Is this something where you could potentially, this would be one of several that may be announced over the next few months or is it just going to be one initially; and if just one initially, are you considering if this is successful, doing more?
Ara Hovnanian : First of all, we literally, the interest out there of financial institutions, money managers, hedge funds, equity shops, etcetera, of investing with us was just enormous. Literally, I think if we were interested, we could have gotten a couple of billion dollars of commitment. What we’ve chosen to do is start with one fund and one relationship and do basically one at a time and see how that relationship goes. We thought it’s best not to do multiple funds simultaneously or multiple ventures because then you get into a question as to: Okay, well, you get a land opportunity. Which funds get to buy it and did one fund get the good deals and another one get the bad deals? So we think the appropriate thing to do is to do one at a time. The good news is the institution that we’re about to finalize the deal with has a pretty big appetite. We feel pretty good about the opportunity, but the other good news is there are many others that are interested as well with significant investment dollars.
Operator: Your next question comes from the line of Nishu Sood with Deutsche Bank. Please proceed.
Nishu Sood – Deutsche Bank : I wanted to ask about mothballing. I imagine earlier in the downturn, a lot of the community were mothballing where probably hadn’t open the sales center yet or maybe were at a major breakpoint. More recently we’ve been hearing in places like Bakersfield, you folks are mothballing or curtailing construction kind of even mid-phase. I imagine in that type of situation, you’re not even generating enough cash on each sale to cover your cash costs or your sticks and bricks. I wanted to ask how widespread this type of dynamic might be and also what happens to the land in that type of situation because you would think that that land would need to be written down to if not a zero basis, nearly a zero basis.
Ara Hovnanian: First of all, you are correct that we have mothballed the community in Bakersfield. I think two of them actually, but it’s not because the cash flow generation was at zero. It’s just that the cash flow generation was just not sufficient and basically what it meant, you were not really recouping enough for the land investment, and we felt we’d be again having gone through the cycles and not being forced to liquidate land on a basis that doesn’t make economic sense. We said, “Hey, we’d rather hold onto this land. Let’s make the market. Let the market recover and ultimately the cash generation will be far better.” So that’s really a criterion and in none of the conditions have we gotten to a point of zero cash flow. We would mothball a community long before that. Keep in mind, in the development, what’s typically what we’re seeing is you have some sections of lots and some are developed and some are partially developed, some are fully developed in one community which is already open. So you may complete a section and you may say, “Okay, after this section, I’m not going to continue on anymore sales. I’d rather hold onto the land.” In terms of impairments, some of that is clearly recurring in land that has been impaired. So that is part of our impairment challenge and part of the impairment that we’ve taken.
Nishu Sood – Deutsche Bank : The other question I wanted to ask was about your backlog and your cash flow. You’ve been converting your backlog at a higher pace this year than you have last year. So your backlog is down a lot, 58%. You mentioned you’re not planning aggressive promotions, anything like a deal of the century. You’ve taken on the $600 million of debt at a higher interest rate. So factoring all that in, should we expect there to be a lot of pressure on cash flows? Maybe cash flows wouldn’t be anywhere near next year what they were this year?
Larry Sorsby : I think one thing you need to keep in mind as you look at our conversion of backlog was that we had a significant number. I think close to 1,500 deliveries from Fort Myers that was cash flow neutral this year and, in fact, really didn’t contribute. You really need to ignore that when you’re calculating the backlog conversions. I don’t think our backlog conversion is going to be all that different going forward than it has been historically.
Operator: Your next question comes from the line of Timothy Jones with Wasserman and Associates. Please proceed.
Timothy Jones – Wasserman and Associates: Follow-up on the prior question, on that $422 million, how much of it was land or the write down of $147, either way you want to do it, and how much was development either land development or other amenities?
Larry Sorsby: We don’t differentiate or allocate the impairment to the type of inventory to the community as a whole, so impairment is on the community. It’s made up of land, land development, some construction, whatever.
Timothy Jones – Wasserman and Associates: Yeah, but it’s mostly land, right?
Larry Sorsby: Yeah, allocate to whatever you want to first. I mean it’s really a judgment call but argument they could be the land, I think.
Male Speaker: The developed land.
Timothy Jones – Wasserman and Associates: The second one would be you had about $120 million rise in land and options held for future development or sale. Why did that go up? Did that include that $422 million or is that inventoried or somewhere else and what was that increase due to then?
Larry Sorsby: It’s exactly what you just said. It’s when the communities move into being mothballed; they just go into that end planning and move from active, so that’s what’s causing that increasing.
Operator: Your next question comes from the line of Megan McGrath with Lehman Brothers. Please proceed.
Megan Talbott McGrath – Lehman Brothers: Want to just follow-up on some of your comments around gross margin. You talked about a few factors that would influence it going forward. Understanding that you don’t want to give guidance, I’m just wondering if you could give us anymore color on how much of an improvement you could see. What’s the second to third quarter improvement, the scale of that improvement? Is that sort of fair to assume going forward on a quarterly basis, or could you see a higher jump as you get sell-off of some of this impaired land?
Ara Hovnanian: You’re trying to trick us into giving you (inaudible).
Megan Talbott McGrath – Lehman Brothers: I am. 
Ara Hovnanian : We can’t go there. Go try though.
Megan Talbott McGrath – Lehman Brothers: The next question is going to be on your staff. We’ve heard from a couple of your peers that they’re starting to feel a little bit more comfortable with the amount of specs that they’re holding and may not be as aggressive going forward and trying to sell it. How are you on a scale of how you feel about your spec? Are you still being pretty aggressive in trying to sell that down?
Larry Sorsby: Obviously, there’s less of them out there now. We’ve made significant reductions over the past year, year-and-a-half, so the reductions going forward will be much less. We really look at it on a per-community basis and there’s some markets to where you have to have a couple pre-started homes per community in order to insure that you have product necessary to meet the demands of someone who recently sold their home that has to move out of their existing home and into the new home. So I think it’s safe to say that the reduction will be less than it’s been over the last year of so.
Ara Hovnanian: Yes, we are at a point today where our spec inventory is not accidental spec to speak that we have all of these unsold homes. Oh my lord, we have to sell through these. We are consciously putting these specs up, as Larry said. But what we’re not doing is just randomly building specs. If we have three specs and we sell two of them, then we’ll star two more because, as Larry pointed out, that’s in a particular community, there are customers, they’re not signing a contract early in advance and going to backlog. They’re waiting till they sell their existing home and then they have to move quickly to buy a new home and that by definition has to be a spec because you typically can’t build a new house fast enough. So we are keeping a certain minimal level of specs in the ground at all times. I mean if you just look at a ballpark basis and you said you have 350 communities and you want to keep three homes on hand that you’ve at least started and then by definition you’d have whatever that is, about 1,200 specs, plus you have models on top of that at all times.
Megan Talbott McGrath – Lehman Brothers: On a margin perspective given that you’ve worked through most of your accidental specs, are they about comparable on a gross margin basis to a to-be built model.
Ara Hovnanian: I really can’t comment on that. It varies dramatically. In some markets, like Houston or even some markets in Southern California, most of our sales come about because we [inaudible] the spec. But I guess in general, I’d say there are more comparable today.
Operator: Your next question comes from the line of Alex Barron with Agency Trading Group.
Alex Barron – Agency Trading Group: I guess I wanted to talk about your gross margins and your impairment methodology. I believe in the press release it said they were 3.5% after interest expense. I guess I was just kind of wondering what it is in the impairment methodology that doesn’t cause the margins to be higher at this rate or in other words why maybe haven’t the impairments been a little higher so that the margin would be higher?
Larry Sorsby: One thing for sure is that every community has an impaired. So if they have low margins, they may not have triggered an impairment yet. You don’t take that impairment yet, the other thing that happen is even once you book an impairment, the margins could improve but we could have price decline since we recorded those impairments, but those declines have not happened enough to cause a follow-on impairment. So it all depends on the community and the specifics with that community. Prices in some place they’ve taken impairments over the last few years, so there’s certainly some communities where we’ve taken impairments and prices have declined further since then but not enough to take another impairment. Some communities we have second impairment, so it really is the mix of how those impairments are taken and where there are in relation to triggering another impairment [inaudible].
Ara Hovnanian: But beyond that, the way the GAAP methodology works, typically when you do an impairment, it doesn’t bring the land or the asset value all the way down to a point where you’re back to normalized 25% gross margins. It definitely improves; and it’s definitely positive gross margins, but there are much lower gross margins than what you would have in a normal marketplace.
Alex Barron – Agency Trading Group: My second question is on a slightly different topic. I guess given that your backlog is down significantly year-over-year in sales and everything, I was just kind of curious why we haven’t seen a comparable decrease in your accounts payable.
Ara Hovnanian: Before our financial people answer that, I will remind you one time, as Larry pointed out earlier, a large chunk of inventory reduction just during this current period when you compare the first nine months toward the period now compared to a year ago, a lot of that was in Fort Meyers where we had construction perm and they were delivered, and that definitely.. While that was technically backlogged, that was very different from our normal backlog and had very different impacts on accounts payable. Brad or Paul, did you want to add anything to the accounts payable numbers. I know we have reductions.
Brad O’Connor or Paul Buchanan: That may be something we can back to him on because nothing immediately comes to mind here.
Larry Sorsby: In the accounts payable number that’s on the balance sheet, there are other liabilities there impacting that as well. So accounts payable by itself is down slightly from the last quarter and from year end, but there are other liabilities that were in there at year end as well.
Operator: Your next question is from the line of Joel Locker with FBN Securities.
Joel Locker – FBN Securities : Just on your 23,100 option lots, what’s total dollar exposure including LOCs and pre acquisition costs?
Larry Sorsby: I went through that in my portion of the script. Let me go back and see if I can get there again, Joel.
Joel Locker – FBN Securities : I guess while you’re looking for that, on the corporate expenses, it’s been around $21 million for the last four quarters, is there any way you can get that down or what’s involved in most of that? Revenues been coming down but obviously that hasn’t been coming.
Larry Sorsby: I mean corporates a harder number to reduce because we’re still having to file appropriate SEC filings and that type of thing, so even though our business has shrunk, the work hasn’t shrunk a whole lot at corporate. We’re taking a hard look at it. We continue to try to right-size corporate. At the same time, we’re right sizing our other business units, but it’s a harder number to bring down. As of July 31st, the deposits on letter of credit was $96.4 million, including $64 million of cash and $32 million of letters of credit.
Joel Locker – FBN Securities : One last one, do you have the impairment reversible numbers for the third quarter?
Larry Sorsby: $44 million.
Operator: Your next question comes from the line of Vicki Bryan with Gimme Credit.
Vicki Bryan – Gimme Credit: I just have a couple of questions. One is housekeeping about your revolver, what was you available credit at the end of the quarter?
Larry Sorsby: It was $300 million facility of which we had used $217/$220, something like that in letters of credit.
Vicki Bryan – Gimme Credit: So about the same as last quarter?
Larry Sorsby: A little less
Ara Hovnanian: Just to reiterate what we mentioned before, we are not really using our revolving or line of credit for anything other than LCs. Our LC usage is just been steadily trending down overall.
Vicki Bryan – Gimme Credit: Right, I see that. Then my second question, I was noticing on your cancellation rates, you seem to be improving not just relative to 2007 but 2006 the last couple of quarters. I was wondering with six weeks into this fourth quarter, if you got enough visibility see that kind of continuing, if it maybe has to do with that you’re not doing big promotions in neighborhoods and so the quality of your quarters is more stable and what does that maybe say about your backlog?
Larry Sorsby: I don’t think we’re prepared to comment on our cancellation rates so far in the fourth quarter. We’ll do that next quarter when it’s over, Vicki.
Operator: Your next question comes from the line of Andy Schaefer of Phonics.
Andy Schafer – Phonics: With respect to your joint ventures, is that going to be an open ended type of an arrangement or is it will be set period where say there’s a three-year timeframe for you to go out and purchase lots to develop? Then depending upon how you answer that, how do you decide whether something is better for the joint venture or for your base business because as the market improves and whatever you still have in your inventory in terms of lots and options, the value of that would tend to improve it. So it seems that there would be a conflict of interest as you move forward with that joint venture.
Ara Hovnanian : First of all, we earmarked initially about a quarter of billion dollars of equity for the venture as opposed to a timeframe and our plan and agreement is that basically so that there isn’t a conflict of interest, we will offer all new acquisition opportunities above a certain minimal amount of several million dollars. Anything of substance, we will offer to the venture first and only after the venture would we… If the venture declines, only then we would look at purchasing it on our own.
Andy Schafer – Phonics: In other words, it’s a set total dollar amount and once the joint venture runs through that, you would have a decision to make with your partners as to whether or not you would continue it and re-up the funding.
Ara Hovnanian: Yes, either we would re-up it. By the way, our partner initially wanted to do a much larger number, but I think we both finally agreed: Let’s get the relationship going and if things go well, we’ll both be pleased to do it. But either we increase the initial funding if we go through that or go and find an additional or new partner or do some of it on our own balance sheet.
Andy Schafer – Phonics: So given that your 10%, the $2.5 billion sort of is what you’re thinking about initially?
Ara Hovnanian: No, no the 250 is not what we have earmarked. That’s what we earmarked together with our partner, [inaudible] would be $25 million.
Operator: Your next question comes from the line of Mike Rehaut with JP Morgan.
Michael Rehaut – JP Morgan Securities: Just had a follow-up: I was wondering if you could just hit on the cash flow generation? You’re expecting to do about 125 in the fourth quarter which is I believe down from reading this, down from a year ago in contrast to the rest of the year having a better performance relative to ’07. So I was wondering, number one, why that is and, number two, if it just has more to do with the prior couple quarters having such strong cash flow or stronger cash flow? Looking into ’09, with backlogs declines continuing to worsen and now at around 60% if you look at backlog dollars, what we might expect for ’09 cash flow being higher or lower than ’08?
Ara Hovnanian: Well first, Mike, as you know, we’re not projecting ’09 cash flow levels as is the situation with most of our peers. But in regard to fourth quarter cash flow, it will be our highest quarter cash flow. I think sequentially our cash flow position has been better every quarter. It’s not as big as the fourth quarter last year for two reasons. Number one, overall our deliveries and sales our down in ’08 compared to ’07, so I think it’s natural to get a little cash flow. But secondly, we did a better job as you know generating cash flow earlier in the year and have a little more balance than even year in terms of cash flow than we did in ’07. In ’07, it was a really fourth quarter act and we mentioned this year, we almost had $200 million just in the third quarter. So I think we’ve been able to balance the cash flow more evenly this year.
Larry Sorsby: On the earlier part of that answer, Mike, Ara was talking about excluding the tax refund, cash flow.
Ara Hovnanian: That’s correct. If you take out the cash flow from the responders plus or minus $100 million and therefore the $125 million in the fourth quarter is going to be greater number of cash flow excluding that tax refund.
Larry Sorsby: Suffice it to say, we remain laser-like focused on maximizing cash flow every quarter going forward.
Andy Schafer – Phonics: Just to follow up on that. In terms of cash out the door, land spend and development, I was wondering if you could just remind us what those numbers were in fiscal ’06 and ’07 and what you believe they’re on track to be for this year.
Larry Sorsby: I don’t think we’ve every provided a historical number for what we’ve spent for land development, so I can’t give you that for ’06 or ’07. We don’t have it for the remainder of this year available at our fingertips. So it’s something that we’re looking at potentially providing in the future, but we’re not in a position to do so now.
Ara Hovnanian: Suffice it to say, we’re burning through a lot more land than we’re buying. I think we gave the example we delivered about 2,200 homes, only bought about 400 lots and locations we already bought lots, a lot of them were in Texas or North Carolina, which are very low land costs markets. In those markets, we do a lot of on the developed lot basis. So that is a big part of what’s generating cash flow, we’re simply selling a lot more land with a house under it than investing in new lots right now.
Operator: There are no further questions in the queue at this time.
Ara Hovnanian: Thank you very much. Obviously as you know, it’s been a challenging marketplace, continues to be a challenging marketplace for our Company and for the entire industry. However, there a few early signs, not cause for celebration yet, but early signs that the market may slowly be getting into a better balance in terms of supply and demand and that’s an important first step to get a more normalized market overall. We’ll continue to work hard for all our shareholders, and we’ll look forward to giving you an update on our next quarter. Thank you so much.